Operator: Good morning and welcome to Intra-Cellular Therapies First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference call is being recorded. I would now like to turn the conference over to Dr. Juan Sanchez, Vice President, Corporate Communications and Investor Relations. Please go ahead.
Juan Sanchez: Good morning and thank you all for being here today. Joining me on the call today are Dr. Sharon Mates, Chairman and Chief Executive Officer; Mark Neumann, Chief Commercial Officer; Dr. Suresh Durgam, Chief Medical Officer; and Larry Hineline, Chief Financial Officer. As a reminder, during today’s call, we will be making certain forward-looking statements. These forward-looking statements are based on current information, assumptions, and expectations that are subject to change and involve a number of risks and uncertainties that might cause actual results to differ materially from those contained in the forward-looking statements. These and other risks are described in our periodic filings made with the Securities and Exchange Commission, including our quarterly and annual reports. You are cautioned not to place undue reliance on these forward-looking statements, and the company disclaims any obligations to update such statements. I will now turn the call over to Sharon.
Sharon Mates: Thanks, Juan. Good morning everyone, and welcome to today’s call. Following a strong performance last year, 2023 is off to a great start. During the first quarter, our team delivered strong growth for CAPLYTA and made important progress on the clinical development front. Just a few weeks ago, we announced robust positive top line results from Study 403, evaluating lumateperone in patients with major depressive disorder, or MDD, exhibiting mixed features and in patients with bipolar depression exhibiting mixed features. I will talk more about this in a moment. Let’s start with our performance with CAPLYTA in Q1. Demand for CAPLYTA and prescriber adoption has been strong. Total prescriptions increased by 159% compared to first quarter of 2022 and increased 16% sequentially in Q1 2023 compared to Q4 2022. First quarter total revenues increased to $95.3 million. Our strong prescription growth drove CAPLYTA net revenues of $94.7 million, a 173% growth versus the same period in 2022. We are very pleased with our performance in Q1 and reiterate our prior guidance for full year CAPLYTA net sales between $430 million and $455 million. We are confident in continued growth and the future potential of CAPLYTA. We continue to receive very positive feedback from both prescribers and patients. Physician sites CAPLYTA’s clinical profile and efficacy for a broad range of patients with bipolar depression and schizophrenia. Importantly, patients often highlight improvements in their symptoms and CAPLYTA’s favorable side effect profile. This positive feedback further reinforces our belief that CAPLYTA is helping to change the lives of patients. On the clinical front, we continue to expand our CAPLYTA development programs and advance our other pipeline programs. Let’s start with our most recent news. In March, we announced robust positive top line results from Study 403. These strong results further validate the potential for lumateperone to treat a broad spectrum of mood disorders. In this study, we evaluated lumateperone 42 milligrams as monotherapy for the treatment of major depressive episodes in patients with MDD exhibiting mixed features and in patients with bipolar depression exhibiting mixed features. Lumateperone demonstrated a statistically significant and clinically meaningful reduction on the MADRS total score compared to placebo at week six, the primary endpoint of the study. This result was demonstrated in the combined patient population of major depressive disorder with mixed features and bipolar depression with mixed features. The drug placebo LS mean difference was 5.7 points with a P value of less than 0.0001 and the effect size was 0.64. The strong results were consistent for the individual patient populations as well. For the MDD patient population with mixed features, the effect size was 0.67 and for the bipolar depression patient population with mixed features the effect size was 0.64. The P value for each of these individual populations was less than 0.0001. Lumateperone 42 milligrams also met the key secondary endpoints by demonstrating a statistically significant and clinically meaningful reduction in the clinician’s Global Impression scale, or CGI, compared to placebo at week six in all populations evaluated. Consistent with prior trials, lumateperone was generally safe and well tolerated. Patients experiencing depressive episodes with mixed features have more severe illness with higher recurrence rates, comorbidities and rates of suicide and suicidal ideation. In addition, patient with MDD and mixed features respond poorly to antidepressants. These study results provide important data about the efficacy, tolerability, and safety profile of lumateperone for these difficult to treat conditions. These results build on the data we reported in our post-hoc analysis of Study 404 on the subset of patients with bipolar depression exhibiting mixed features. We are pleased to announce that this analysis has just been published in April in the Journal of Clinical Psychiatry. We plan to meet with the FDA later this year to discuss our study results and determine the next steps for the program. Our lumateperone program extends across several major neuropsychiatric conditions, including MDD. We have an ongoing registration program evaluating lumateperone as adjunctive treatment for major depressive disorder in patients who partially respond to antidepressants. Subject to the results of our ongoing studies, we expect to file an SNDA in 2024. We have continued – we have also continued to invest in our lumateperone long-acting injectable program having completed a Phase 1 study evaluating one formulation and completed preclinical studies evaluating several formulations, which can deliver drugs for one month or longer. The goal of this program is to develop formulations that are effective, safe and well tolerated with treatment durations of one month or longer. We plan on progressing these formulations this year and next year. Beyond lumateperone, we continue to make progress with our other pipeline programs, including ITI-1284 are phosphodiesterase 1 or PDE1 inhibitors and ITI-333. Consistent with our lumateperone program these innovative pipeline programs focus on therapeutic areas with significant unmet patient need. Starting with ITI-1284 are deuterated form of lumateperone. In 2023, we plan to begin Phase 2 clinical studies in patients with agitation and Alzheimer’s disease, patients with psychosis and Alzheimer’s disease, and patients with generalized anxiety disorder, all highly prevalent conditions. Our PDE1 inhibitor program patient enrollment has been initiated in our Phase 2 proof-of-concept study for lenrispodun, which is being developed for the treatment of motor symptoms in patients with Parkinson’s disease. Changes in cognitive measures and inflammatory biomarkers will also be assessed. Extensive evidence supports the involvement of neuroinflammation in the development of Parkinson’s disease. We have shown that lenrispodun acts to reduce neuroinflammation by directly modulating intracellular signaling pathways in cells in the brain called microglia. A similar pathway may be involved in controlling immune cell function, particularly macrophages and non-CNS tissues, including certain solid tumors. We have an active IND for our newest PDE1 inhibitor ITI-1020, which is being developed as a novel immunotherapy for oncology indications. Clinical conduct has begun in a single ascending dose study in normal healthy volunteers to establish a safe and tolerable range of doses for further study. The potential of a safe and well-tolerated small molecule as part of the treatment armamentarium for cancer indications is an exciting prospect and we look forward to advancing this program. Finally, we continue to develop ITI-333, our 5-HT2A receptor antagonist and μ-opioid receptor partial agonist for the treatment of opioid use disorder and pain. In Q1, we began clinical conduct in a multiple ascending dose study in healthy volunteers evaluating pharmacokinetics safety and tolerability of the molecule. Our neuroimaging study is ongoing. Our company is in a strong financial position ending the quarter with $540.5 million in cash, cash equivalent and investment securities. Additionally, we have no debt. As a company we remain deeply committed to our goal of developing effective and innovative treatments that improve the lives of patients. We continue to take step forwards to achieve this goal. We believe we have significant growth potential in CAPLYTA and the rest of our pipeline, and we look forward to continuing our progress. I will now turn the call over to Mark to further discuss CAPLYTA’s performance and commercial opportunity. Mark?
Mark Neumann: Thanks, Sharon, and good morning everyone. As Sharon noted, CAPLYTA is off to a great start in 2023. Registering sequential quarterly growth in total prescriptions of 16% versus Q4 of 2022, and year-over-year growth of 159% versus the same period last year. CAPLYTA generated this impressive performance despite facing typical first quarter headwinds and an overall antipsychotic market that grew total prescriptions only modestly. Additionally, weekly new patient starts of CAPLYTA, are now five times to six times higher than they were prior to our label expansion in bipolar depression. This growth is being driven by continued strong underlying demand and prescriber adoption of CAPLYTA. As we saw consistently strong monthly increases in Q1 and both the breadth of our prescriber base as well as the depth of prescribing. By the end of the first quarter, CAPLYTA’s prescriber base had grown to more than 25,000 unique prescribers, adding close to 4,000 new first time prescribers in Q1, including over 1,400 in March alone as we continue to penetrate the prescriber adoption curve. We believe the fundamentals of a healthy launch are evidence, and we are highly confident that CAPLYTA will continue to experience strong growth throughout this year and beyond. The market opportunity for CAPLYTA is large, and we believe this is just the beginning with plenty of room for long-term growth. There’s several reasons for this. First CAPLYTA has approved in large patient populations including bipolar depression, a highly prevalent mood disorder affecting more than 11 million Americans. There is a significant remaining unmet medical need in bipolar depression with frequent medication switching in the class as prescribers search for the optimal balance of efficacy and tolerability for each patient. CAPLYTA has a compelling product profile and has proven effective in bipolar depression and schizophrenia with a favorable safety and tolerability profile with weight, metabolic changes, EPS and akathisia, all similar to placebo in our clinical trials. These are powerful reasons to prescribe. Our bipolar depression label, which includes the use of CAPLYTA as both monotherapy and as adjunctive treatment in bipolar I and bipolar II depression puts us in a strong competitive position in this marketplace. While the prevalence of bipolar I and bipolar II disorders are similar, the bipolar II patient population remains underdiagnosed. This patient population represents an important opportunity for CAPLYTA as there is only one other drug approved for bipolar II depression. As part of our marketing efforts, we are increasing awareness and the importance of treating bipolar II disorder. Secondly, the prescriber base for antipsychotics is large with tens of thousands of prescribers. As I mentioned before, we’ve been consistently increasing both the breadths and the depth of this base, adding significant numbers of unique prescribers, and expanding the average number of prescriptions per prescriber. The recent increase in the size of our sales organization allows us to connect more frequently with our highest volume prescribers, as well as continuing to expand our reach, thereby increasing our market share and penetration. We are investing behind the brand to optimize the growth of CAPLYTA and have a comprehensive commercial plan complimenting our sales efforts with peer-to-peer medical education program, digital promotion, and are Let in the Light direct-to-consumer national advertising campaign. Together, these efforts are raising awareness amongst prescribers and patients about the unmet need in bipolar I and bipolar II depression and educating physicians and potential new patients about the benefits of CAPLYTA. Finally, our extensive market access coverage across all three payer channels and our comprehensive LytaLink patient support offerings compliment our promotional efforts. In Q1, we strengthened our market access position to now cover approximately 90% of commercially insured lives and have continued to maintain greater than 98% coverage in the Medicare Part D and Medicaid channels. Our experience commercial team is proud of our progress to date, and we remain focused on supporting the needs of our physicians and patients and delivering sustained prescription and revenue growth throughout the year. Now, I’ll hand the call over to Larry to detail our financial performance. Larry?
Larry Hineline: Thank you, Mark. I will provide highlights of our financial results. Total revenues were $95.3 million for the first quarter of 2023 compared to $35 million for the same period in 2022. Net product sales of CAPLYTA were $94.7 million in the first quarter of 2023 compared to $34.8 million for the same period in 2022, representing a year-over-year increase of 173%. In the first quarter CAPLYTA net sales increased 8% over the fourth quarter of 2022, and total prescriptions grew 16% sequentially. Our gross-to-net percentage was in the low-30s reflecting more favorable than anticipated payer dynamics, including lower than anticipated co-pay assistance cost due to more favorable formulary placement and lower managed care rebates. We expect our gross-to-net percentage to increase towards the mid-30s for the remainder of the year. During the quarter, there was a modest decrease in days on hand of CAPLYTA at the wholesale level. As we expect underlying demand for CAPLYTA to remain strong, we are reiterating our prior full year 2023 CAPLYTA net sales guidance of $430 million to $455 million. Selling, general and administrative, SG&A expenses were $98.9 million for the first quarter of 2023 compared to $75.5 million for the same period in 2022. This increases due to increases in marketing and advertising costs. Research and development, R&D expenses for the first quarter of 2023 were $38 million compared to $29 million for the same period in 2022. This increase is primarily due to higher lumateperone project costs, and to a lesser extent non-lumateperone project cost. Cash, cash equivalents and investment securities totaled $540.5 million at March 31, 2023 compared to $593.7 million at December 31, 2022. For 2023, we continue to estimate full year SG&A expenses to range between $420 million and $450 million and full year R&D expenses to range between $195 million and $220 million. This concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of Jessica Fye with JPMorgan.
Vardhman Chhajed: Hi, good morning. This is Vardhman on for Jessica. Thank you for taking our question. You talked about the GTNs in 1Q being in the low 30% range. Can you talk about how do you see it going into 2Q? Is it likely to improve sequentially? And secondly given that the third trial in adjunctive MDD, the Study 505 is underway now, would you be able to provide us with any timelines on how to think about the data readouts? Thank you.
Sharon Mates: Thanks for your questions. I think I got both of them. I think the beginning, the first question was on gross to net, and I’ll ask Larry to take that one. And then if I have it right, your second question is on – starting on Study 505. I might ask you to repeat that one, but first let’s do the gross to net. So Larry, do you want to take the gross net question, please?
Larry Hineline: Yes, I do. I think you asked why the – is the gross to net percentage going to increase or decrease as we go forward? I didn’t quite hear that.
Vardhman Chhajed: Likely…
Sharon Mates: Yes, I think he said about the increasing, yes, right.
Larry Hineline: Yes, sure. Well, as we have – I mentioned in our prepared remarks, there’s – our gross to net was lower in the first quarter. However, we do expect the gross to net to increase in the – towards the mid-30s from the low 30s that was experienced in the first quarter. And this is primarily due to increased volume going through the commercial channel as well as increased commercial coverage.
Sharon Mates: Okay. And could you repeat the second part of the question on 505, please?
Vardhman Chhajed: Yes, sure. Just thinking about the timelines for data readout from the three adjunctive MDD trials.
Sharon Mates: Okay. So for the first two MDD trials, we’ve said that we expect that should they be successful, we would be filing in 2024. So obviously readout is earlier than that. For 505, we’ve said that that would take more time, clinical conduct has started, and obviously it would take longer. It would probably take another year. So we would expect that we would be concluding that study and be ready to do our filing in 2025.
Vardhman Chhajed: Thanks.
Sharon Mates: Next question, operator, please.
Operator: Thank you. And our next question comes from the line of Brian Abrahams with RBC Capital Markets.
Leonid Timashev: Hi. Yes, it’s Leonid on for Brian. Thanks for taking our question. Congratulations on the strong quarter. I wanted to ask on the mixed features indication. Just how much more education do you think that needs – there needs to be done to get some of the KOLs up to speed on how to best treat these patients? Are you finding there are any differences in the familiarity with mixed features across geographies or treatment centers? And I guess, what’s the best way to position CAPLYTA in the mixed features population across lines of therapy or first switch? Thanks.
Sharon Mates: Yes, thanks, Leonid. These are great questions and I’ll start and I’ll ask if Suresh wants to add anything. I think that with the publication of the DSM 5, which now is – some years ago, I think there’s been an increasing awareness and an increased desire to be able to treat these patients. Bipolar depression with mixed features was included in the DSM 4, but it was a looser definition. I mean, that’s not a technical term, but a looser definition than in the DSM 5. And there wasn’t any specifier or a clear definition in the DSM 4 for mixed features in MDD. So again with the DSM 5, I think that that has allowed the clearer definitions and that there has been an increase in physician awareness and wishes to be able to treat these patient populations. These are not small patient populations about – on average about a third of each of these patient populations have mixed features. They’re difficult to treat patients. They have higher rates of suicide and suicidal ideation. So these are important patient populations to treat as to whether or not there are differences of – in geographical regions. I am not aware of that, but maybe I’ll ask Suresh if he has anything he wants to add to that.
Suresh Durgam: In terms of the geographical distribution, no, I don’t – there is – I don’t think there is any differences. It is seen – this is, as you said, it’s about a third of the patient population, a little bit on the lower side for the MDD, but a little bit higher side on the bipolar depression space. And since 2013, since it’s been officially specified within the DSM 5, prescribers have been getting more and more used to this and we continue to educate the prescribers.
Sharon Mates: So also, I think, it’s important to note that our data was extremely robust and healthcare providers are very interested in these results. And to that end, of course, we’re working on a publication as well as all the other measures that we’ve described to you.
Leonid Timashev: Got it. Thanks so much.
Operator: Thank you. And our next question comes from the line of Andrew Tsai with Jefferies.
Andrew Tsai: Hi, good morning, and congrats on another great quarter. Thanks for taking our question. So I wanted to ask on MDD today. First one is, what is it power to show for CAPLYTA versus placebo on MADRS? Or what are you expecting the minimum delta to be – for CAPLYTA to be clinically meaningful? I’m just curious if we should be thinking any differently from the mixed features indication. And then secondly for – also for MDD, would you consider waiting to top line the data until both of them – both of the first two have completed? Or would you be open to top lining the data in more of a piecemeal fashion one at a time? Thank you.
Sharon Mates: So I will start and I’ll ask Suresh to fill in. So, first, on what we’re expecting on all of these mood disorders, we are using the MADRS as our measure for our primary endpoint, the change from baseline on the MADRS score. And as you know, typically that’s within a two to four point range. And you look towards the mid or higher range for monotherapy studies and you look to the lower range for an adjunctive study. And when you think about that, it makes sense because on an adjunctive treatment, these patients are already being helped. They’re just not being helped optimally. So you look towards the lower end for the change in MADRS in adjunctive studies. So that’s the first question you asked. The second one is on when these studies readout, will we read them both out together or will we read them out separately? And I think we will see in the timing of when they finish. As you know, they did not start together. They started sequentially, one started a little bit before the other one. So I think we’ll see. When they conclude? If they’re – if they conclude separately, then we’ll report them out separately if there’s a long time or any period of time between the two. And if they’re close together, then we’ll report them out together. I think it’s – we’re not prepared to give any further granularity on that yet. And I think that that covers it unless I missed something. Suresh, did I miss anything?
Suresh Durgam: No, I think you – you did cover.
Andrew Tsai: Yes. Thank you guys, makes perfect sense.
Operator: Thank you. And our next question comes from the line of Charles Duncan with Cantor Fitzgerald.
Charles Duncan: Yes. Good morning Sharon and team, let me add my congratulations on a really nice quarter. I did have a multi-part question. One part is on commercial. And I’m wondering if Mark could speak to any observations on persistence that he is seeing in the BPD versus, say, the schizophrenia population, and if the guidance includes any change in pricing assumed later on this year.
Sharon Mates: Mark?
Mark Neumann: Yes, sure. Yes, sure. Hi, Charles. Yes, so the – we continue to see a very strong compliance and persistency profile with CAPLYTA which began with schizophrenia and has continued on through bipolar depression. We think that’s down to, among other things, the very favorable safety and tolerability profile that we have in our clinical trials and what is being replicated in the real world with physician and patient experience. So that continues to go well. And the second part of your question, yes, we have built in all of our assumptions into the guidance that we’ve provided for this year. And as Larry and Sharon both addressed, we’ve reiterated that guidance for the remainder of the year.
Charles Duncan: Okay, thanks
Sharon Mates: Operator, our next question.
Operator: Thank you. And our next question comes from the line of Jeff Hung with Morgan Stanley.
Jeff Hung: Thanks for taking my question. For your PD-1 inhibitor portfolio, can you talk about the differences between 214 and 1020 and how those differences lend the candidates to be better suited for different indications? Thanks.
Sharon Mates: Okay. So, the two molecules we’re testing ITI-214 and ITI-1020 are different molecular entities. They’re both new molecular entities, but they differ from each other. We have several different scaffolds within the PDE1 inhibitors, and that affects the potency of these molecules. And they have been purposely designed to have different potencies and to and in their ability to penetrate the blood-brain barrier and some other aspects as well. But I think this is what we’ve said publicly to date. So, we’re very excited about these – both of these molecules. And as we go forward, I think we’ll be talking more and more about them.
Jeff Hung: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Sumant Kulkarni with Canaccord Genuity.
Sumant Kulkarni: Good morning. Thanks for big my question and nice to see all the progress at the company. So on mixed features, is there any way to proactively gauge how the – how doctors and physicians –and patients might be perceiving the high quality dataset that you have on hand already? And on that note, when you meet the FDA, I know you’re going in to seek feedback, but do you proactively expect to request a potential for an SNDA submission on the back of very high quality data?
Sharon Mates: Yes, I’m not quite sure who to address that to. Suresh, do you want to start?
Suresh Durgam: Yes. Yes. The data we have seen with our 403 mixed feature study is strong, both in the combined populations of bipolar depression with mixed features as well as the MDD mixed features, and also the individual patient population with MDD with mixed features, an individual population of bipolar depression with mixed features. As we have indicated earlier, we are putting a package together to go to the FDA and discuss, and we will update you on our next steps on what the steps would be from the FDA. And we are also planning to this great data to be published in, and we are working on a publication right now to publish a pretty as soon as possible.
Sharon Mates: And we’ll also be going to a medical meeting both later this year as well as next year. So, I think we’re educating the physician community with the data – and we’ll get a great reception to it as well.
Sumant Kulkarni: Thanks.
Operator: Thank you. And our next question comes from the line of Marc Goodman with SVB Leerink. 
Marc Goodman: Morning. Mark, can you talk about your share of voice for CAPLYTA relative to Vraylar? Maybe on a percentage terms, and if you feel like you’ve got it right and whether there’s potential that you might need to take it higher? Or just curious how you’re thinking about things relative to probably the other major competitor that’s making noise out there? Thanks.
Mark Neumann: Yes, thanks, Marc. We think pretty much since the beginning, we have maintained a comparable share of voice out there across the different elements of the promotional mix. And we feel that with the quality of the profile, the clinical profile of CAPLYTA, if we can maintain a comparable share of voice and have comparable access from a payer perspective then that’s a situation that we like a lot because we think we can win in that situation. So, I think, as I mentioned in my prepared remarks we are investing behind the brand to optimize the growth of CAPLYTA. As you’re aware, Marc, at the beginning of the year, we expanded our sales force by an additional 50 representatives that has allowed us to more frequently interact with our highest volume prescribers, but also increase our reach still early days with that. But we’re seeing very nice progress with those representatives and we expect that impact to build over the course of the year. We’ve been airing our revised and new DTC campaign, the Let in the Light campaign and we’re liking the metrics that we’re following there. So, I think across the board, we feel good about the level of promotion and our ability to compete with the others in the branded category. 
Marc Goodman: Thanks.
Operator: Thank you. And our next question comes from the line of Jason Gerberry. One moment please. And our next question comes from the line of Michael DiFiore with Evercore ISI.
Umer Raffat: Hi guys, this is Umer working for Mike. I have two there if I may. First, as we think about sort of the like bigger picture, as we think about your expansion into mixed features as well as MDD, can you layout out for us what are the market shares? Because there may be stuff getting used off-label and mixed features right now. Can you speak to what your commercial diligence is on that, like the key players, but even more importantly on the MDD side? And perhaps if you could also give us an added layer of monotherapy versus adjunct use. And then separately, would you at any point consider possibly even exploring a monotherapy trial in MDD as well? Thank you very much.
Sharon Mates: Okay. I think you had even more than two there, Umer. But let me see, if I can parcel it out and see who they go to. So I don’t know, Mark, do you want to start or do you want me to start?
Mark Neumann: I mean, I can address the market share portion of the question that, that Umer has and then turn it over to you. I think market share information on mixed feature is Umer, is I think a difficult thing to get at. What I would say is, when you look at the MDD market overall there’s only a handful of products approved for MDD as you’re aware, including Rexulti more recently Vraylar Abilify previously. And so that you can get those market shares with those products, but the mixed features is a little more difficult to get at. So Sharon, let me turn that back over to you then.
Sharon Mates: Well, I’ll first say that as you know, there is nothing approved in mixed features for either bipolar depression or MDD with mixed features. Having said that, I will first turn it over to Suresh to tell you a little bit more about the unmet and why we think these are large markets and to explain about why there is a need in this patient population. And then I’ll come back to say a few more comments. So Suresh?
Suresh Durgam: Yes. In terms of the mixed features, this is what we are studying is patients who have a major depressive episode either in bipolar disorder or in MDD patients who have some of the manic symptoms that don’t meet the clinical threshold for full-blown mania. So these patients are mixed features patients who have greater severity of illness, these patients have higher suicidal rates and also have higher rates of suicide. They also have high recurrence rates and they have high comorbidities, and they are also more often they don’t respond to antidepressants. And all these makes these patients difficult to treat patient populations and hence the unmet need in this particular specific population. So that’s why we studied this. And with the data we have which we have the robust data in both the MDD individual patients with mixed features and bipolar depression mixed features, we have demonstrated that lumateperone has implications in a broad range of mood disorders across the whole mood disorder spectrum. And we are going to – go to the FDA discuss our plans for moving this forward.
Sharon Mates: So to answer your question, it is that we know that in MDD, we know that at least half the patients are certainly not optimally or treated such that they go into remission. So, we know that there’s a very broad need for newer treatment – new treatments in that patient population. Furthermore, we know that about a third of both the MDD patient population and the bipolar patient population have mixed features. So, we know that there are robust markets for a product such as CAPLYTA that can address the mixed feature patient populations. Oh, and then you asked a question about monotherapy treatment. And I think right now our studies are in adjunctive treatment and we think that that’s the right place to be.
Operator: Thank you. And our next question comes from the line of Jason Gerberry with Bank of America.
Jason Gerberry: Hey guys, thanks for taking my questions. Sorry about the issue there. On mixed features, just a follow up here. I guess, I struggle to see why there wouldn’t be a knock on effects to CAPLYTA revenue just given that, these physicians while technically mixed features is off-label, couldn’t just diagnose these patients as bipolar. And as you go to FDA, it seems like no approved mixed feature drug, you’ve laid out a strong case about elevated morbidity with these patients and you don’t have single trial site contribution to efficacy. So, what are the counter-arguments to why they shouldn’t be able to get approved with the single study?
Sharon Mates: Yes, I think we are, it is our policy to never opine for the FDA to say that we are putting a package together. We’re going to speak to them. I would tell you that right now we do have a broad label in bipolar depression and we are very excited about the label that we have in bipolar depression right now. And so I think that stay tuned, we – there’s a lot more to come, including a lot more data on our programs that are in the clinical studies. So, we’ll get back to you as soon as we have more information.
Jason Gerberry: Got it. Okay.
Operator: Thank you. And our next question comes from the line of Ash Verma with UBS.
Ash Verma: Hi, good morning. Thanks for taking my question. So for MDD anything you can share on the enrollment for the 501 and 502 trials seems like based on CT.gov, all the sites for 501 have been enrolling since last one year, but for 502, I think you still have a few sites that haven’t open enrollment.
Sharon Mates: Yes. Thanks for your question, Ash. It has not been our practice to discuss enrollment other than that it’s going well. And I think, and there’s a reason for that because your enrollment can go well and then it cannot go well or it can go the other direction, and we don’t want to mislead anybody. So, we leave it that the fact that enrollment is ongoing. We do tell you we’re not seeing any surprises. And so I think that we’ll let you know more as we go forward with the program.
Ash Verma: Great. Thank you.
Operator: Thank you. One moment, please. And our next question comes from the line of Ami Fadia with Needham & Company.
Unidentified Analyst: Hi. Good morning. This Isa Leon [ph] for Ami. Thanks. Congrats on the quarter and thanks for taking our question. Maybe piggybacking off of a previous question, do you anticipate the mixed features data to help drive growth in BPD this year? And just curious if there are, potential tailwinds this year even without a specific mixed features label. And if this is contemplated in your CAPLYTA sales guidance? Thank you.
Sharon Mates: Yes. I can tell you that good news, good data is always good news. And it allows for us to continue to drive awareness of CAPLYTA. It is important to always present your data at medical meetings and to continue to drive the awareness of your products with the physician community. So we’re doing that. I think our sales guidance is based on CAPLYTA for its approved indications and we end and our position in the marketplace right now. Mark, do you want to add anything to that?
Mark Neumann: No, I think that covers it, Sharon. 
Sharon Mates: Great. Thanks for the question.
Operator: Thank you. One moment please. Our next question comes from the line of David Amsellem with Piper Sandler. 
David Amsellem: Thanks. So, I had a commercialization question from Marc. I know you have the current sales force expansion. But I wanted to ask you longer term, how you’re thinking about the expansion of the sales infrastructure to support MDD. How are you thinking about the general practitioner audience that you’re going to need to cover? And maybe give us a sense of what your biggest competitor here, I guess it would be AbbVie with [indiscernible], what kind of resources they have in terms of headcount for that product, just to give us a wave of sizing up how we should think about your commercial organization longer term. Thank you.
Mark Neumann: Yes, thanks David. Good questions. And let me give you a little bit of background. So currently our sales force has a target audience size of about 43,000 physicians mostly made up of psychiatrists and nurse practitioners that support those psychiatrists, but also a segment of primary care as well. Now, those 43,000 physicians account for about 90% to 95% of all the branded antipsychotic prescriptions written for schizophrenia and for bipolar depression. And the primary care segment that’s included currently are those primary care physicians who are comfortable treating bipolar depression and are high volume prescribers of branded antipsychotics for those patients. That doesn’t mean that every primary care physician out there is comfortable treating bipolar depression, and those that aren’t, they’re not part of our current target list. So we have 43,000 that we feel with the size of our sales force. We have very good coverage of those 43,000. Now as we play forward to MDD and we think about the opportunity there, the good news is that virtually all those 43,000 physicians who are treating schizophrenia and bipolar depression, they also treat a lot of MDD. So we will have built up and be able to leverage the awareness that we’ve built up about CAPLYTA with those 43,000 physicians. And assuming approval and MDD would then be able to transition to messaging about MDD as well. Now, there is another segment of primary care physicians that we believe are not comfortable treating either schizophrenia or bipolar disorder, but they do treat a lot of MDD and they do write for branded or antipsychotics, and it would be that segment of physicians that we would look to expand our sales force in order to get the appropriate amount of coverage on them to optimize our growth in that indication as well. So we’re still a little ways away for that, and we’ll continue to update you guys as we get a little bit closer to that opportunity.
David Amsellem: Great. Thank you.
Operator: Thank you. One moment please. And our next question comes from the line of Corinne Jenkins with Goldman Sachs.
Corinne Jenkins: Hey, good morning everyone. Maybe a bit of a follow-up to that last question. You mentioned there was something like 4,000 new prescribing physicians in the quarter. Could you provide any color on the population where you’re seeing that momentum versus who you saw kind of come in as early adopters? And then on a related basis, you just said there was about 40,000 target physicians versus I think 25,000. You’re currently seeing prescriptions from is that 43,000 a step up with the recent sales force expansion, or was that your target previously?
Mark Neumann: Yes, good question Corinne. I think the answer to both of those questions is found in just in general how different physicians adopt new medicines as they come to market. You have a whole range of adoption characteristics by physicians. There are certain physicians that adopt a new medicine very quickly. They’re the ones who want to be the first to prescribe it when it comes on the market. That’s the minority of physicians. You also have at the other end of the spectrum, physicians who take much longer to get comfortable prescribing any new medicine, and they want to wait to see what the experience is before they prescribe it. That’s also the minority of physicians. The majority are in the middle of the well curve that have different timeframes for when they’re comfortable adopting a medication. So for us what we see is the kind of typical adoption of a new medicine. And what’s been very encouraging to us are the numbers that, that you just referenced, that I think now we’re probably six quarters into our bipolar launch and we see no slowdown in the rate or the pace of adding new first time prescribers to the product. And at the same time, we’re also increasing the depth of prescribing quarter-over-quarter, and there’s been no slowdown in that either. So those two metrics are very positive signs to us that there is a awful lot of room for growth for CAPLYTA, and we’ll continue to see very robust prescription growth through the remainder of this year and into the future as well.
Corinne Jenkins: Thanks.
Operator: Thank you. One moment please. And our next question comes from the line of Graig Suvannavejh with Mizuho Securities.
Graig Suvannavejh: Hey, good morning. Thanks so much for taking my questions. Congrats Sharon, to you and the team for another strong quarterly performance of CAPLYTA. I actually have a question on ITI-1284. I don’t think, I’ve asked a question before on this pipeline opportunity. I see that you’re going to initiate a Phase 2 program across a number of indications. And in particular, I was wondering about your thoughts around the agitation in Alzheimer’s disease patient opportunity. We just saw the positive AdCom for Rexulti just a few weeks ago. But I’m just wondering how you see either the TPP for lumateperone in this patient population and maybe how you qualitatively see and perhaps quantitatively see the market opportunity for this product. Thanks.
Sharon Mates: Thanks for the question. Graig, I don’t know, Suresh, do you want to start or would you like for me to start?
Suresh Durgam: Yes, I can start. Yes, we are planning on starting several studies with ITI-1284 first one being the agitation in Alzheimer’s disease patients. And regarding the studies itself as we come closer to the starting the study, which we are trying to do this year, and we will let you know the designs and the details of the study once we come closer to that study.
Sharon Mates: So I can add to that. And you commented on the [indiscernible] AdCom, and we were very pleased to see the endorsement by the panel. First for the use of antipsychotics in this patient population we do think that our product profile for ITI-1284 would benefit patients with agitation. We are currently tweaking the protocols. I think that one always tries to learn from those that present data. And we think that we are currently based on what we heard at that AdCom tweaking our protocol to reflect both what we heard by the committee and by the agency, as well as making sure we’re maximizing what we think can be a benefit to patients. So we’ll update you as soon as possible.
Graig Suvannavejh: Okay. Thanks Sharon.
Operator: Thank you. I would not like to hand the call back over to CEO, Sharon Mates for any closing remarks.
Sharon Mates: Thank you, Operator. And thank you everybody for joining us today. I think we’re very pleased with our strong performance that we saw in Q1. As Mark mentioned to you, we look forward to increasing the depth and the breadth of the prescribing of CAPLYTA as well as the moving forward of our pipeline programs. So with that, we look forward to speaking with you next quarter. And with that operator, you can disconnect.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating and you may now disconnect.